Operator: Good afternoon, and welcome to the F5 Networks' Fourth Quarter and Fiscal 2016 Financial Results Conference Call. At this time, all participants will be on listen-only, until the question-and-answer portion. Also, today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to Mr. John Eldridge, Director of Investor Relations. Sir, you may now begin.
John Eldridge - F5 Networks, Inc.: Thank you, Vance, and welcome all of you on the line to our conference call for the fourth quarter and fiscal year 2016. John McAdam, President and CEO; and Andy Reinland, Executive VP and CFO will be the speakers on today's call. Other members of our exec team including Ben Gibson, Chief Marketing Officer; and Ryan Kearny, Chief Technical Officer are on hand to answer questions following their prepared comments. If you have any follow-up questions after the call, please direct them to me at 206-272-6571. Copy of today's press release is available on our website at f5.com. In addition, you can access an archived version of today's live webcast from the Events Calendar page of our website through January 25. From 4:30 PM today until 5:00 PM Pacific Time, October 27, you can also listen to a telephone replay at 866-479-8682, or 203-369-1542. During today's call, our discussion will contain forward-looking statements, which include words such as believe, anticipate, expect and target. These forward-looking statements involve uncertainties and risks that may cause our actual results to differ materially from those expressed or implied by these statements. Factors that may affect our results are summarized in our quarterly release, described in detail on our SEC filings. Please note that F5 has no duty to update any information presented in this call. Before we begin the call, I want to remind you that we are holding our 2016 Analyst Investor Meeting at the InterContinental Chicago Magnificent Mile Hotel on Thursday November 17 from 8:00 AM to 12:30 PM. If you plan to attend the meeting, you can register online from the link on our IR Events Calendar page for November 17. For those who aren't able to join us in person, the meeting will be webcast live and a replay of the webcast will be available through January 25, 2017. Now, I'll turn the call over to Andy Reinland.
Andrew Reinland - F5 Networks, Inc.: Thank you, John. F5 closed fiscal 2016 with a strong finish. Both revenue and earnings for the fourth quarter of fiscal 2016 came in above our guidance as a result of solid year-over-year sales growth in the Americas, APAC and Japan. And healthy demand for our existing products ahead of our appliance refresh that began rolling out in mid-September. Revenue of $525.3 million was up 6% from the prior quarter, and 5% year-over-year and above our guided range of $515 million to $525 million. GAAP EPS was $1.64 per share, above our guidance of $1.44 per share to $1.47 per share. Non-GAAP EPS of $2.11 also exceeded our guidance of $1.92 to $1.95 per share. Q4 product revenue of $253 million, up 9% from Q3 and down 2% from Q4 of last year, represented 48% of revenue. Service revenue of $272.4 million increased 3% sequentially, 12% year-over-year, and accounted for 52% of revenue. On a regional basis, Americas revenue grew 5% year-over-year and represented 58% of total revenue. EMEA revenue grew 4% year-over-year and accounted for 23% of overall revenue. APAC revenue, which accounted for 14% of the total, increased 1% year-over-year, and Japan at 4% of total revenue, was up 13% from a year ago. During the quarter, enterprise customers represented 64% of total sales. Service providers accounted for 18% and government sales were 18%, including 10% from U.S. Federal. In Q4, we had three greater than 10% distributors. Westcon, which accounted for 18% of total revenue; Ingram Micro, which accounted for 15.2%; and Avnet at 12.5%. Continuing down the income statement, GAAP gross margin in Q4 was 83.8%, non-GAAP gross margin was 85.2%. GAAP operating expenses of $277.8 million were at the low end of our $276 million to $285 million guided range. Non-GAAP operating expenses were $242.7 million. Our GAAP operating margin in Q4 was 31% and non-GAAP operating margin was 39%. Our GAAP effective tax rate for the quarter was 33.1% and our non-GAAP effective tax rate was 31.9%. Turning to the balance sheet. In Q4, we generated $204 million in cash flow from operations, which contributed to cash and investments totaling $1.16 billion at year-end. DSO was 46 days. Capital expenditures for the quarter were $17.6 million. Inventory at the end of the quarter was $34.1 million. Deferred revenue increased 11% year-over-year to $870.2 million. In Q4, we repurchased approximately 1.2 million shares of our common stock at an average price of $124.31 per share, for a total of $150 million. Approximately $774 million remains authorized under the current share repurchase program. And in Q4, we increased our head count by 70 employees to 4,395. For the full year, revenue for fiscal 2016 was just under $2 billion, up 4% from fiscal 2015. Product revenue of $944.5 million was down 5% from the prior year and accounted for 47% of total revenue. Service revenue of $1.05 billion grew 13% during the year and represented 53% of the total. GAAP net income for fiscal 2016 was $365.9 million, or $5.38 per share. And non-GAAP net income was $496.2 million, or $7.30 per share. And for all of fiscal 2016, cash flow from operations totaled $712 million. Moving onto our guidance for Q1 and our fiscal year 2017 outlook, we encouraged by increasing customer demand for all the new products we introduced in the second half of fiscal 2016, in particular for our new family of BIG-IP appliances, the Shuttle series, which we launched in September. We expect to finish the rollout of these products in November and we anticipate a steady ramp in sales as they replace sales of our existing appliance family over the course of this year. As we look to Q1, we expect to see the normal seasonality that accompanies the start of a new fiscal year. In addition, we anticipate a continued challenging sales environment within EMEA over the short-term, particularly in the UK, which we have also factored in when assessing our revenue expectations for Q1. With that in mind, for the first quarter of fiscal 2017, we are targeting revenue in a range of $510 million to $520 million. We expect GAAP gross margins at/or around 83%, including approximately $5 million of stock-based compensation expense, and $2.7 million in amortization of purchased intangible assets. Non-GAAP gross margins are anticipated at/or around 84.5%. We estimate GAAP operating expense of $285 million to $294 million, including approximately $38 million of stock-based compensation expense, and $0.8 million in amortization of purchased intangible assets. We anticipate a GAAP effective tax rate of 33% for the quarter and a non-GAAP effective tax rate of 31.5%. Our Q1 GAAP earnings target is $1.40 per share to $1.43 per share. Our non-GAAP earnings target is $1.92 per share to $1.95 per share. We believe, we will generate cash flow from operations at/or around $200 million, and we plan to increase our head count by 60 employees to 80 employees during the quarter. Looking out to the fiscal year ahead, our general planning assumptions and expectations are as follows. From the base of Q1, we anticipate sequential revenue growth throughout the year with the strong second half of the fiscal year. We anticipate the non-GAAP gross margins will remain in the 84% to 85% range. We expect non-GAAP operating margins in the mid-30s% range for the first half of the year and increasing to the upper 30s% range over the second half. Stock-based compensation is anticipated to be in the range of $175 million to $185 million for the year. Capital expenditures are expected to range from $15 million to $20 million per quarter for ongoing infrastructure investments and facilities expansions. And finally, we expect our effective tax rates to average approximately 32% to 34% on a GAAP basis and 31% to 33% on a non-GAAP basis for the year. As John mentioned, our Analyst Investor Meeting will be November 17 in Chicago, we hope you can join us for this in-depth look at our business and our plans for fiscal 2017 and beyond. With that, I will turn the call over to John McAdam.
John McAdam - F5 Networks, Inc.: Thanks, Andy, and good afternoon, everyone. I will discuss the Q4 results in some detail and then outline the progress we have made during fiscal 2016 towards our goal of returning product revenue growth in fiscal 2017. Overall, I was very pleased with F5 team's fiscal Q4 performance, including record revenues of $525 million, record cash from operations of $204 million, and record profitability with 39% non-GAAP operating margin. Many of the process, systems and training investments that we made throughout the year in our go-to-market engine together with the significant addition of new sales and marketing leadership talent began to bear fruit in fiscal Q4. I'm especially encouraged by the improvement in sales and execution last quarter from the Americas region, which returned to year-over-year sales growth for the first time in several quarters. I view this as a significant milestone on our path to delivering consistent product revenue growth. I was also happy with the results for the Japan and our Asia-Pacific regions, which both delivered year-over-year sales bookings growth for the quarter and the entire fiscal year. Sales bookings in EMEA however, were again done year-over-year, driven by weak sales in the UK. Once again our services business delivered strong results and excellent profitability with year-over-year revenue growth of 12%. As well as providing world class customer satisfaction, our service business has been crucial to our profitability throughout fiscal 2016. We believe that there are several emerging market conditions that have increased the appeal of our products with enterprise and service provider customers in Q4. Firstly, customers are increasingly leveraging our products, not only for native security features, but also for the ability of our products to orchestrate and intercept SSL traffic laws. Hackers today are more often leveraging SSL traffic for malware delivery, thereby making the F5 SSL orchestration and inspection capabilities more and more relevant. For example, a $5 billion healthcare organization deployed F5's iHealth application and in so doing, determined that 93% of its datacenter traffic was encrypted, and that is existing perimeter firewalls were being defeated by a flood of malicious and non-malicious traffic. The ultimate resolution included deploying an F5 VE-based SSL solution, working in tandem with the Cisco FirePOWER intrusion prevention offering. This collaborative SSL orchestration solution was repeated more than a dozen times this quarter in several large global enterprises. Similarly, we experienced real traction with our anti-fraud WebSafe platforms in Q4. We believe this reflects both the increasing sophistication of bad actors focused on credential theft, as well as an explosion of SSL traffic in the transport of e-mail and other enterprise and public messaging applications. Our WebSafe product is very effective over SSL encrypted traffic, giving F5 very strong competitive differentiation with these solutions. We had a large win in Q4 with an Australian bank, who leveraged our WebSafe and MobileSafe anti-fraud capabilities to facilitate the protection of 10 million domestic and international banking customers. The F5 solution provides a clientless private cloud capability to the bank, which uniquely met the requirements of their ever growing mobile banking clientele. A second emerging trend is the growth opportunity we are experiencing with customers, provisioning our proxy-based security solutions to deploy a consistent security stack and security policies across on-premise, off-premise and public cloud infrastructure such as AWS and Microsoft Azure. Our multinational airline was suffering from brute force attacks against its web-based and private cloud assets. This customer leveraged a combination of our ASM WAF and Silverline WAF-as-a-Service offerings to mitigate unwanted package terms (17:06) and help them meet end-customer service delivery expectations. This solution provided a set of IT administration abilities across its hybrid, public and private cloud environment, thus reducing management complexity and total cost of ownership. Similarly two different banks in our Asia Pacific theater deployed BIG-IP ASM modules within the AWS environment to facilitate a public cloud migration of several customer facing internet banking sites. Our solution allowed both banks to duplicate both their ASM functionality and their home-build library of iRules that they had optimized in their on-premise datacenter for use in the public cloud. As we gain more and more experience of customers using F5 solutions to move their apps and workloads to public and private cloud architectures, we are convinced that this is yet a third-market trend with significant opportunities for F5. Within our existing customers, I'm sorry, when our existing customers initiate lift and shift programs to move applications to the public cloud, they continue to view rich F5 ADC functionality such as programmability via iRules as critical for application optimization and application security. For example, an international provider of SaaS-based workforce automation solutions leveraged our virtualization traffic management capabilities in the AWS environment to activate remote instances of their product in Canada, Australia and the United Kingdom. Working together, AWS and F5 help the customer emulate the traffic management protocols and reuse the on-premise configuration details they had optimized and hardened over time. The resulting solution greatly reduced the latency that the international customers had been experiencing when accessing the application remotely. This trend was further reinforced when our U.S. based provider of entertainment, media and streaming content, deployed our ADC solution in the Amazon Web Services environment. Our cloud-based solution allowed for rapid activation of additional streaming sessions, during on-demand style broadcasts when subscriber demand significantly exceeded expectations. The content for these events is primarily delivered by the customers' private cloud. However, this joint F5 and AWS solution provided for a standby capacity, leveraging a hybrid cloud architecture. From a product perspective, we delivered on our goal to commence shipments of a new range of appliances in Q4. This new product line-up known internally as a Shuttle series is perhaps the most comprehensive range of new products we have delivered to the market. We started shipping the high-end products in the final weeks of the quarter and we expect to have the entire product range available by the end of November. As I have mentioned before the Shuttle series is more than a simple product line upgrade. We believe that the Shuttle series is the world's most programmable cloud-ready ADC. The Shuttle series provides the agility that DevOps organizations demand, together with the scale, security, investment protection that our traditional customers have long enjoyed. In our quarterly conference call last January, when we announced our Q1 results, I gave a high-level view of the significant array of new products we had in our roadmap for delivery in fiscal 2016. The Shuttle series capped a tremendous year of product introductions in fiscal 2016, which will provide solid business drivers in the coming fiscal year, enabling the F5 team to achieve our goal of delivering product revenue growth throughout the year. We saw very good traction in sales of our new 100-gig blade last quarter, and it was exciting to see a significant number of these sales taking advantage of the 100-gig blade's world-class performance to enhance solutions like the Gi firewall. Security, Gi LAN consolidation, NFV solutions, traffic steering and TCP optimization continue to be successful areas of focus for F5 in the service provider market. Our vast array of new products including the Shuttle series, the SSL Orchestrator, the DDoS Defender, MobileSafe, iApps LX, BIG-IQ, and our iWorkflow orchestration engine, as well as our upcoming TMOS 13.0 release all further support our efforts to enable our customers to efficiently migrate their apps to private and public cloud architectures. As far as fiscal 2017 Q1 outlook is concerned, Andy discussed our high-level financial views for fiscal 2017, and indicated that we expect to deliver revenue in the range of $510 million to $520 million in the first quarter. I believe that F5 is very well-positioned moving into fiscal 2017 to take advantage of the new products and business drivers, as well as the new opportunities including an explosion of SSL encrypted traffic, customers' requirements to have consistent security policies across on-premise and public clouds, and the move of application workloads to private and public cloud architectures. We will be presenting our strategy in detail at the November Analyst Investor Conference. We have a lot to cover that day including details on our strategy and roadmap on several topics. For example, we will present our plans and progress on DevOp-centric architectures, including containerized Microservices, OpenStack, orchestration, and visibility and analytics. And I look forward to seeing you at the event. In conclusion, I would like to thank the entire F5 team, our partners and customers for their support last quarter. And with that, we'll now hand the call over for Q&A.
Operator: Thank you. Our first question comes from Tim Long with BMO Capital Markets. Your line is now open.
Timothy Patrick Long - BMO Capital Markets (United States): Thank you. Just two if I could. First, if we can just touch on Europe, it sounds like you've had some really good sales execution in the U.S. market. Is anything that could be done differently in Europe? Or is it just really too much macro that's going on there that might make that a little bit more challenging? And then secondly, could you just update us on how trends for standalone security products and the software offerings trended in the quarter and the outlook for – into next fiscal year? Thank you.
John McAdam - F5 Networks, Inc.: Okay. On EMEA first of all, and I'll talk about EMEA, not just Europe, because that's where the organization is, first of all, we've had strong management in EMEA for a long time. And they actually had an excellent fiscal 2015, but definitely 2016 was problematic in some areas. I really believe that macro was definitely involved in the UK issue. One of the things that's probably unique to F5 more than a lot of the other companies is that, if you look at our major accounts regions, the financial sector is very, very important in that region. And frankly that was a tough market after the Brexit announcement where they seem to be taking some time to make up their mind as to where they're going to deploy their money moving forward. So, having said that you always look at execution and we continue to do that, but I think it was more macro. In terms of the standalone product, I mean SSL, you heard me talking about SSL and orchestration and intercept, and also DDoS I mean, the first two solutions that we come out with, we feel very, very good about the trajectory of that type solution base. We're going to be talking a lot more about this in November, and you'll hear us talking about product additions in that area, I don't want to get into it now, it's not appropriate, but you'll hear us talking about that. But I think it will increase the opportunity in 2017, and also more functionality as well but we think because of our SSL expertise, we are really, really well-positioned to take up the opportunity. Ryan, do you want to mention anything about service chaining and how is that unique capabilities for us.
Ryan Kearny - F5 Networks, Inc.: Sure. Sure. I think, let me just reiterate also, some of the programmability and orchestration capabilities of our product actually from a historical perspective have really landed itself very well to the – to new environments like NFV and service chaining, et cetera. And we've got a tremendous amount of good kind of response, especially through the quarter with some of those solutions, and we will continue to do so.
John McAdam - F5 Networks, Inc.: Yeah, I mean, one of the things that I mentioned, that you may have got missed actually was when I talked about one of the examples that use the Cisco Intrusion Prevention product and then there was a sentence after that talking about we've done a number of these collaborative type solutions. I'm talking about working with companies like FireEye and Palo Alto, where we can make those SSL transactions visible to those types of solutions.
Timothy Patrick Long - BMO Capital Markets (United States): Okay. Thank you.
Operator: Thank you. Our next question comes from Rod Hall with JPMorgan. Your line is now open.
Rod B. Hall - JPMorgan Securities LLC: Yeah, hi guys. Just thanks for taking my question. I guess, I had a quick technology question and then maybe a question on the numbers looking into 2017. So, on the tech question, Ryan, there is a lot of people are looking at some of these virtualized ADC guys, and they really like the fact that the software has a very small footprint, it's virtualizable and you guys, I know, you talked about this from time-to-time, but I just wonder if you could update us on where you are with shrinking the footprint of the software, said that it really lends itself to a virtualized environment and automated environment were spinning up new instances of the ADC and so on. So if you could just talk about that and then I'll just follow-up after your answer with the financial questions?
Ryan Kearny - F5 Networks, Inc.: Yeah, no, absolutely. The footprint of software and virtualized ADC functionalities, it's very important now (27:54) to be smaller, more agile, more flexible in these new cloud environments, both public and private cloud. We put a significant amount of investment into this actually over the last few quarters and we'll continue to do so actually. Including smaller versions within Amazon and more – smaller versions actually helping us increase the density of these solutions within hardware platforms and stuff like that, it's also not just a smaller footprint, but it's faster boot times. It's easier licensing, it's a more service level APIs for programmability in orchestration. So, in general getting lighter, faster stuff are – is definitely a part of it, but fitting into these new orchestration environment and increasing capacity and density is also critical. So, it's a big focus area.
John McAdam - F5 Networks, Inc.: And I'm probably going to say it for the ten times in the call, but again, we'll be giving this in much more detail in November, but yes, smaller – you'll hear us talk about Microservices, elastic ADC, all that, there is a lot of things coming they have to – that are very, very cloud friendly.
Rod B. Hall - JPMorgan Securities LLC: Okay, great. As usual we don't have enough patience I guess. And then you guys talked about this mid-30s% operating margin first half of next year and then high-30s% at the end of next year. Can you just walk us through? It looks to us like – you probably do high-30s% in the first part of the year. And I just – what's going on with OpEx there, are you planning to – can you just walk us through the trajectory of OpEx through the year, just that we make sure that we're thinking right on the model?
Andrew Reinland - F5 Networks, Inc.: Yeah. And actually, if you look at the last couple of years, we've given the same sort of guidance rolling into the new fiscal year, where we've said, look we see seasonality in Q1, sometimes rolling into Q2, and then we strengthen in the back half. And historically, when we've tried to maintain operating margin at too consistent of a level throughout the year, it's hurt us, when our primary investment vehicle is head count. And we slow things way down and then try that catch it up again. So, I think it was started in fiscal 2014. We went to this mid-30s% in the first half to allow us to keep investing and then drive strength through the back half on the back of strong revenue, and that's what relying out again for execution for this year.
Rod B. Hall - JPMorgan Securities LLC: Okay. So we're just seeing normal seasonality on the OpEx as we move through the year then?
John McAdam - F5 Networks, Inc.: Yep.
Andrew Reinland - F5 Networks, Inc.: Exactly.
Rod B. Hall - JPMorgan Securities LLC: Okay. All right. Great. Thank you, guys.
John McAdam - F5 Networks, Inc.: Thank you.
Operator: Thank you. Our next question comes from Pierre Ferragu with Bernstein. Your line is now open.
Pierre C. Ferragu - Sanford C. Bernstein & Co. LLC: Hi, thank you for taking my question. Could you give us a bit more details on the how your business is picking up on the cloud, and – like your virtual additions of your products, so my question will be first, how big is that today for you? And how much or how fast it is growing? And then, my second question is, how much of your business in the cloud is really like new business coming from new clients and the cloud is for you actually, almost like a new distribution channel, is that allows you to address the market well, not addressing that much before? And how much of that is more like your existing clients using F5 on their own infrastructure, and willing to keep a very similar framework, when they go to the cloud? Thanks.
John McAdam - F5 Networks, Inc.: Right, this is John. This is a pretty broad question in terms of the different areas, because the answer is going to be all of the above in the lot of the questions you talked about, first of all, I mean, when we talked about the three emerging things that are happening that we feel excited about it. One obviously being asset sale, but the other two are very related to the could where one being, we're seeing customers have this absolute need to have these constant security policies and processes through a hybrid clouds or a public clouds or private, a non-premise environment and that's a big opportunity for us. And then there's the classic lift and shift capability that we've seen where – we've seen a very, very, very, almost a 100% successor with the customers lift and shift – customers lift and shift solution or apps and moved them over. But they want to use a security product, so they want to use iRules. And again, we think that's a big opportunity and we're going to be partnering with Azure and AWS for those types of opportunities. And I'm not going to be specific on numbers. We've also seen examples with – for example, our WAF that we prove was on the Azure cloud, I guess a complete new business opportunity. Where we did not let a customer at all. So we've seen that as well. I think that's covering most of all that you asked, that was a pretty broad question, but generally we feel quite good now that this whole mood of this trend is an opportunity after all because of a richness of our software and our security portfolio and our application optimization portfolio.
Pierre C. Ferragu - Sanford C. Bernstein & Co. LLC: And the cloud is like a new channel allowing you to address like clients you were not addressing before...?
John McAdam - F5 Networks, Inc.: I gave in one of the examples I gave you is a customer that we didn't know, we've not been selling to, buying our WAF solution of Azure.
Pierre C. Ferragu - Sanford C. Bernstein & Co. LLC: Okay, okay, sorry. I get it.
John McAdam - F5 Networks, Inc.: And going forward one of things we're going to be doing is increasing our inside sales organization to basically focus on Silverline and doing more sales that way, which were a lot of that – by the way a lot of that's new business. And when we see those customers. But also not just Silverline focus on AWS as marketplace as well as Azure as channels.
Pierre C. Ferragu - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Thank you. Our next question comes from Troy Jensen with Piper Jaffray. Your line is open.
Troy D. Jensen - Piper Jaffray & Co.: Hey, congrats on the nice results, gentleman.
Andrew Reinland - F5 Networks, Inc.: Thanks, Troy.
Troy D. Jensen - Piper Jaffray & Co.: So, Andy, maybe for you first here, gross margins ticked up nicely this quarter, I'm assuming that had a lot to do with software, but can you just touch on that? And then I'm looking through product introductions you expect to maybe above or below kind of the corporate margin average.
Andrew Reinland - F5 Networks, Inc.: Yeah. So, really when you look at our margin profile, the gross margin, it was really driven by services. And on a couple of fronts, one we're seeing higher gross margins from our consulting business, efficiencies just overall with technology that we're using for just higher productivity call avoidance those types of things. And then our hiring was a little behind which drove it up as well. Gross margin on the product side was actually pretty consistent quarter-over-quarter. So in our guidance, you see that we pulled it back a little bit and that's because we'll probably catch up on the hiring side as we drive through Q1. And then in terms of the profile as it relates to the new product introductions, they are going be pretty consistent, right. We're still in the position that we are able to price to margin and we do that and driving value and we see that consistency in the product margin we've seen for really years.
Troy D. Jensen - Piper Jaffray & Co.: All right. And then maybe just a follow-up for you or two part, one here. So, government business was at a record level with respect to revenues and percentage of sales, just curious on what drove that? And then service provider downtick, it looks like it's kind of a seasonal number, but what's your confidence on the service provider vertical?
John McAdam - F5 Networks, Inc.: On the Federal business, I mean what we're seeing is bigger and bigger type sales. I mean, so the multimillion dollar sales are pretty common now and just a big opportunity, there's security of course, it's pretty important there. But it's really, I'd call an evolution rather than a revolutionary type increase in the business.
Troy D. Jensen - Piper Jaffray & Co.: And just on service provider, John?
John McAdam - F5 Networks, Inc.: I missed the question, sorry.
Troy D. Jensen - Piper Jaffray & Co.: EMEA was down sequentially, it looks like that's seasonal, so the question was just your conviction on the service provider vertical?
John McAdam - F5 Networks, Inc.: Right. From a revenue perspective, actually sales-wise, it was pretty solid. So the sales, in other words, it was some systems not shipped. I mean 100-gig, we feel very good about that, very good and not just the sales that we made, but where that are being used like in the Gi Firewall, and then more importantly on the pipeline, so we feel very good about that. And then NFV, I think we're incredibly well-positioned for NFV because of our software portfolio, and of course, we're still working on increasing the throughput to 40-gig and upwards on our VE solution, and I think that's ideal for NFV.
Troy D. Jensen - Piper Jaffray & Co.: All right. Understood, keep up the good work, gentlemen.
John McAdam - F5 Networks, Inc.: Thank you.
Ryan Kearny - F5 Networks, Inc.: Thanks, Troy.
Operator: Thank you. Our next question comes from Ryan Hutchinson with Guggenheim. Your line is now open.
Ryan Hutchinson - Guggenheim Securities LLC: Hey, good afternoon, guys. So I got a question, as I think about the product cycle here, product revenue is down about 5% last year, and this is the most comprehensive product refresh you've had in some time. I don't know if it's bigger than Buffalo Jump, and maybe you could comment on that. I guess what I'm looking for is maybe talking through as we think about this the installed base, and you've touched on it in the past. But just to refresh us, the number of units up for refresh, how ASPs and deal sizes have trended relative to historicals? Any sort of input that we can take to consider and get comfortable that you can indeed grow product revenue this year? And then, why wouldn't that – I guess the follow-up to that is just, how – you're six months into this refresh, and so, or six weeks into this refresh, any sort of color around how things are tracking relative to historical refreshes? Thanks.
John McAdam - F5 Networks, Inc.: Yeah. And I'm glad you said that right at the very end you said you are six weeks, that's about right actually in the sense that we only started shipping the products, the high-end portion of the Shuttle series towards the end of the quarter. So you – probably three to – five weeks or six weeks. We've clearly – we've seen good traction already. And by the way, and the first, it's only recently in the last week or so that we've been training the sales force in this and allowing them to actually push it, but we've taken orders in any event, we're happy with the traction. We've seen – remember, it's a high-end product we've announced so far and then the rest of the product line we expect to be done by the end of November. There's just a lot of good reasons for it to be successful. I mean the customer base, as you asked about more than five years is over 40,000, I guess over 42,500 – 44,000 I should say, and that's bigger than it's ever been in the product refresh before. We've got massive amount of systems available now to the sales force to highlight where these customers are, when their service contracts are up, et cetera. So, they've got a lot of ammunition to be able to execute on that refresh. I just think was there any other questions, I think I answered the question.
Ryan Hutchinson - Guggenheim Securities LLC: Yeah. Just on that installed base, so you said 44,000, I mean how does that compare when you look at metrics and analyze it on the back side, I mean, how does that compare relative to some of the prior...
Ryan Kearny - F5 Networks, Inc.: I think we said last quarter that (39:50) is higher than, it was something more than 60% greater than on our last product cycle, like 63% or 65% higher than last product cycle.
John McAdam - F5 Networks, Inc.: Did you hear that? 65% higher than the last product refresh.
Ryan Hutchinson - Guggenheim Securities LLC: Okay. Thanks, guys.
John McAdam - F5 Networks, Inc.: Hello. Yeah. Okay. Okay. Thank you.
Operator: Thank you. Our next question comes from Tal Liani of Bank of America. Your line is open.
Tal Liani - Bank of America Merrill Lynch: Hi, guys. I looked at my notes from last quarter, and there seemed to be great improvement on certain areas. And I want to focus maybe on the North American part. In your prepared remarks, you said that the North America improved, and I'm trying to understand, where did the improvement come from? Because last quarter you reported on hesitancy to close some deals and push outs and migration to cloud as negatives and in this quarter we see the opposite. And I'm trying to understand, if it's an issue of products, maybe something that you have done to your sales organization that you call it execution and anything else that contributed, maybe spending cycles or anything else that's contributed to this improvement in North America, so we can discuss the factors.
John McAdam - F5 Networks, Inc.: Yeah, yeah, yeah. And sales improved fairly significantly quarter-on-quarter. Sales, I mean, I'm not just talking, I'm not specifically talking revenue and those sales were orders that some shipped in the quarter and some mostly – some didn't. But sales increased. I mean a lot of that was execution and I talked about at the beginning of my script that the sales leadership, that John DiLullo has brought into the company including medical (41:37) sales person as well as some real channel expertise. We've added a whole lot of new processes. But one thing you said, Tal, I want to be really clear about, we didn't say the last quarter that we thought the cloud was a headwind. We actually talked about a lot of customer examples showing the opposite where it was a tailwind and what we've seen is that tailwind getting stronger in Q4.
Tal Liani - Bank of America Merrill Lynch: And when you look at the cloud, how does the business model change for existing customers meaning if today you charge certain price on a product and then you have maintenance revenues. What happens when you migrate to the cloud for the same customer? How does it make sense?
John McAdam - F5 Networks, Inc.: Yeah. And that's a complicated question in the sense that depends on the architecture the customer goes for. So, for example, if a customer may move applications that don't have an ADC in front of them, that's an opportunity for us. A customer when he moves applications to, say a public cloud, may want to do more horizontal scaling because it's a software that type shift and that's an opportunity. In fact we've talked about that before, when we see the eType (42:49) solution, we tend to see as much revenue because there is no vertical scalability, it's horizontal. And other words, instead of a (42:58) sitting in front of 100 apps, you have one app, one image per or VE per app. So, it's quite a complicated scenario, but we feel good about it. Everything we've seen that tells it's an opportunity. The other thing we can talk about when we do that is adding security. Security when you move to the cloud is critical. So the chance that was adding more functionality from a module perspective is also good.
Tal Liani - Bank of America Merrill Lynch: Got it. Just last follow-up, any update on new CEO, are you – you said in the past about, it will take you three months to six months. I think we're coming to the six months anniversary, any update?
John McAdam - F5 Networks, Inc.: Yeah. We started the process talent in July, at the end of – towards the end of July actually. So we're not really at the end. We've got the search committee from the board, specific search committee of board members are working in this. We've actually done some interviews, the search committee and the team are being very, very thorough about this. There is no timescales yet, we're not giving – there's no timescales associated with it. And the main focus of the team in this room is on the business.
Tal Liani - Bank of America Merrill Lynch: Thank you.
John McAdam - F5 Networks, Inc.: Thank you.
Operator: Thank you. Our next question comes from Catharine Trebnick with Dougherty & Company. Your line is open.
Catharine A. Trebnick - Dougherty & Co. LLC: Yes, good afternoon and thanks for taking my question. Could you give us some more detail on how you're doing with the service provider segment in the different regions and what would be – you did talk a bit about the 100-gig blade but what are some of the other used-case applications that are more popular with F5 today as opposed to maybe a year or two years ago when we thought a lot of the activity would come from the diameter. Thanks.
John McAdam - F5 Networks, Inc.: Yeah. There's two big areas the way I view it and if anybody wants to chip in, that's fine, but basically on the one hand we have the NFV and that moved a whole range of software and orchestration in management that we brought to the market in fiscal 2016 that helped us dramatically and we talked about speeding up the VE performance as well. That's one hand. And then on the other hand, we've got the Gi line. In the Gi line, you've got Gi Firewall, you get traffic steering, CGNAT, and that's a consolidation play. There's a big consolidation play there. And then the other thing to think about is, obviously is something we're talking about in the cloud applies to the service provider space and so does SSL. The increase of SSL traffic is also a big opportunity in service provider.
Catharine A. Trebnick - Dougherty & Co. LLC: Okay. And one follow on question, last Friday, we had this huge DDoS attack domestically and can you talk to whatever you can on how well your DDoS product is doing? Thanks.
John McAdam - F5 Networks, Inc.: Yeah. I mean, we've had some really, really powerful examples of – and obviously not going to name the customers here of mitigating very, very large DDoS attacks and we've done it pretty successfully. Obviously, we have an on-premise DDoS capability. I am really talking about Silverline for the really big attack. Over time, we're going to introduce signaling in DDoS, which I think is going to be incredibly powerful that allows us to if we see some sort of a signature type thing happening on our on-premise solution where we have an – you know the size of an installed base and we can actually upload that to a Silverline as a service solution and then other customers got access to it, I think that's incredibly powerful. We've done extremely well. I mean, something, I can't go through the details in terms of the gigs, but it was just high as you've seen in some of the more public examples.
Catharine A. Trebnick - Dougherty & Co. LLC: All right. Thank you very much.
Operator: Thank you. Next question comes from Alex Kurtz with Pacific Crest Securities. Your line is open.
Alex Kurtz - Pacific Crest Securities, Inc.: Hey, guys. I had a question about the refreshing, the opportunity around the security bundling. John, you are looking to introduce any kind of special programs to, you can increase your security dollars as you refresh some of your core ADC installed base customers?
Ben Gibson - F5 Networks, Inc.: Yeah, sure. Hey, this is Ben Gibson on this one. We're definitely looking to both continue, the good, better, best smart bundling initiative that we've had in place. But we see a good opportunity to expand on that in the few different areas. And I think the key is, not only for security attached the integrated ADC system but also the opportunity to do the next few quarters to attack new buyers and budgets. So, it's not only security attached in terms of product but I think what's really interesting to coming you is, security attached to new security buyer and budgets within same account. And as the portfolio continues to expand on that front, we think there's some interesting opportunities there.
Alex Kurtz - Pacific Crest Securities, Inc.: Okay, thanks.
John Eldridge - F5 Networks, Inc.: Okay, Vince. We are going to take two more calls, then wrap it up.
Operator: That's noted, sir. And our next question comes from George Notter with Jefferies. Your line is open.
George C. Notter - Jefferies LLC: Hi, thanks a lot. I wanted to follow-up on the product refresh questions. I think if we go back a few months ago there were some open questions about whether or not you'd see a wait for effects from customers kind of holding off for the new product deliveries. I'm wondering if you've indeed seen any of that or you expect to see any of that in the December quarter? And then also I wanted to ask about evidence of customers trading down, obviously the refresh gives customers access to products that have significantly more performance it, similar types of prices and guess some – I'm wondering if people are looking to trade down? So thanks.
John McAdam - F5 Networks, Inc.: Yeah. On the Osborne question, it's the delay question. First of all that you have to say sometimes you don't see this, right, so sometimes you don't see it. I don't think we had anything, any material slowdown in last quarter, I don't think we saw that. We didn't actually start shipping until the end, so in fact, the new products, but pretty immaterial to the results last quarter. And we expect them to be more material this quarter. In terms of this quarter and the delay, yeah, there is no signs of that yet, but I think we do a lot of mitigating to make sure we watch it like a hawk in December because December is obviously when we have the whole product range announced, but I think we've got that managed reasonably well but we'll see what happens there. The other thing is that from a trading down perspective, interest of note – this is dangerous almost we're saying this because there is not much data, because it's only a few weeks we've been shipping the product, we've actually not seen quite a high interest at the very high-end model right now, that's probably going to change when we have the whole range available with us – that's what we've seen so far.
George C. Notter - Jefferies LLC: Got it. And then just a follow-up on, on the Osborne effect idea, are you guys modeling for any of that in the December quarter in that guide?
John McAdam - F5 Networks, Inc.: Oh! Yeah, we always assume that type, yes is yes. The other thing I was just thinking about on it is that one of the things is very, very a big increase that we've got from a performance perspective with a new product refresh is SSL, you had me going on and on of SSL and I know that feels very excited about it, but that would have been – we're going to bring more performance with Shuttle there and that could mitigate any Osborne effect as well. And also it's going to be the first ADC with ECC encryption available. So we're going to have quite competitive advantage as well.
George C. Notter - Jefferies LLC: Great. Thanks.
John McAdam - F5 Networks, Inc.: Thanks.
Operator: Thank you. Our last question comes from Jim Suva with Citi. Your line is now open.
James D. Suva - Citigroup Global Markets, Inc. (Broker): Thank you so much for the detail so far on the conference call. I have one question and a clarification question. If you look ahead on your guidance, which is quite encouraging. Is it fair to assume that we're now turning the corner that your product growth year-over-year with all your launches and comps and stuff how it's going (51:19) to turn positive or is there any type of variability, I should think about as we kind of look ahead because it appears like, we'd now be at a point where turning positive products growth year-over-year. And then the clarification question is, have you had any component shortages or any gating factors that we should be mindful of that either A, impact shipping times or B, potentially margins or costs on your side. Thank you.
John McAdam - F5 Networks, Inc.: Yeah, regarding the product revenue goal, I mean I think if you go back and look at what I said in my opening remarks is that our goal is to be just product revenue growth throughout the year. And I didn't say that in January, I can assure you. So, yes I think there is improvement there. In terms of the product shortage, Julian.
Edward Julian Eames - F5 Networks, Inc.: Yes, sir. This is Julian. Now, obviously it's new product introduction and you're using some old suppliers and some new ones, but we've not seen anything abnormal to the normal ebbs-and-flows that you'd see within the supply chain.
James D. Suva - Citigroup Global Markets, Inc. (Broker): Great. Thank you so much for the clarification and details. Thank you.
John Eldridge - F5 Networks, Inc.: And thank you all for joining us and we hope to see many of you at our Analyst Day in Chicago on November 17. We'll talk to you next quarter.
John McAdam - F5 Networks, Inc.: Thanks a lot.
Andrew Reinland - F5 Networks, Inc.: Thanks.
Operator: Thank you. So that concludes today's conference call. Thank you all for participating. You may now disconnect.